Operator: Good day, and welcome to the Daqo New Energy Fourth Quarter 2024 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Xiaoyu Xu. Please go ahead.
Xiaoyu Xu: Hello, everyone. I'm Xiaoyu Xu, the Investor Relations of Daqo New Energy. Thank you for joining our conference call today. Daqo New Energy just issued its financial results for the fourth quarter of 2024, which can be found on our website at www.dqsolar.com. Today attending the conference call, we have our Chairman and CEO, Mr. Xiang Xu; our Deputy CEO, Ms. Anita Zhu; our CFO, Mr. Ming Yang and myself. Mr. Xu's is on the business trip now, so he will make a brief introduction followed by Ms. Anita Zhu on our management's remarks. Today's call will begin with an update from Ms. Zhu, our management, our market conditions and the Company's operations. And then Mr. Yang will discuss the Company's financial performance for the quarter and the year. After that, we will open the floor to Q&A from the audience. Before we begin the formal remarks, I would like to remind you that, certain statements on today's call, including expected future operational and financial performance and industry growth are forward-looking statements that are made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These statements involve inherent risks and uncertainties. A number of factors could cause actual results to differ materially from those contained in any forward-looking statement. Further information regarding these and other risks is included in the reports or documents we have filed with or furnished to the Securities and Exchange Commission. These statements only reflect our current and preliminary view, as of today and may be subject to change. Our ability to achieve these projections is subject to risks and uncertainties. All information provided in today's call is as of today and we undertake no duty to update such information, except as required under applicable law. Also during the call we'll occasionally reference monetary amounts in U.S. dollar terms. Please keep in mind that, our functional currency is the Chinese RMB. We offer these translations into U.S. dollars solely for the convenience of the audience. Now, I will turn the call to our Chairman and CEO, Mr. Xiang Xu.
Xiang Xu: Hello, everyone. This is Xiang Xu, the CEO of Daqo New Energy. We appreciate you joining us for the conference call today. Anita, go ahead.
Anita Zhu: Okay. Thank you, Mr. Xu. Hello, everyone. This is Anita Zhu. Thank you for joining our conference call today. And I'll now deliver the management remarks on behalf of Mr. Xu. So in 2024, we faced a challenging market environment with excess capacity in the solar PV industry, leading to sharp price declines across the entire value chain. We proactively managed these difficulties by curtailing polysilicon production to reduce cash burn, particularly in the third and fourth quarters. Nevertheless, we've reached an annual polysilicon productive volume of 205,068 metric tons in 2024, meeting our guidance of 200,000 metric tons to 210,000 metric tons, which represented an increase of 3.7% year-over-year compared to 197,831 metric tons in 2023. Our N-type product mix increased significantly from approximately 40% of total production in 2023 to 70% in 2024. And we sold 181,362 metric tons in 2024, ending the year at a reasonable inventory level. Despite slower growing demand for solar PV products globally, the mismatch between demand and supply drove prices lower in 2024 even below cash cost. Overall, our polysilicon ASP decreased significantly from $11.48 per kilogram in 2023 to $5.66 per kilogram in 2024. And revenue came in at $1 billion compared to $2.3 billion in 2023 as a result of lower ASPs as well as lower sales volumes. As polysilicon ASPs fell below production costs starting in the second quarter of 2024, we recorded a noncash provision for inventory impairment expense with a negative gross margin of 20.7% for 2024. Due to the continuous negative gross margin, we recorded a non-cash long-lived asset impairment charge of $175.6 million for the quarter related to our older polysilicon production line. Despite the losses, Daqo New Energy continued to maintain a strong balance sheet and ample cash reserves. At the end of 2024, the company had a cash balance of $1 billion short-term investments of $10 million bank notes receivable $55 million and a fixed term bank deposit balance of $1.1 billion. Overall, the company maintains strong liquidity with a balance of quick assets of $2.2 billion, which can be readily converted to cash, if needed. This solid financial position ensures we are well-equipped to navigate the market downturn and remain strategically resilient. On the operational front, during the fourth quarter, the company continued to operate at a lower utilization rate of 40% to 50% of our nameplate capacity in light of weak market prices. The total production volume at our two polysilicon facilities for the quarter was 34,236 metric tons, further decreasing from the third quarter by 9,356 metric tons. Meanwhile, we intensified our efforts to reduce inventory, and our sales volume reached 42,191 metric tons, in the fourth quarter compared to 42,101 metric ton in the previous quarter. As a result of lower utilization, idle facility related costs for the quarter was approximately $1.02 per kilogram, which was primarily related to non-cash depreciation expense. Overall, polysilicon unit production costs edged up 3% sequentially to an average of $6.81 per kilo. However, thanks to our relentless efforts to improve operational efficiency, our cash costs declined further to $5.04 per kilogram, a 6% quarter-over-quarter decline compared to $5.34 per kilogram in the third quarter. Due to the current market pricing environment, we currently expect total polysilicon production volume in the first quarter of 2025 to be approximately 25,000 metric tons to 28,000 metric tons. We plan to maintain a relatively low utilization rate in 2025 until a turning point emerges in the sector. As a result, we currently anticipate full year production volume in 2025 to be approximately 110,000 metric tons to 140,000 metric tons. Discussion on industry self-regulation measures have been ongoing since the fourth quarter. Meanwhile, the polysilicon market remains sluggish heading into the quarter as downstream customers continue drawing down accumulated inventory and coping with lower wafer capacity utilization rates of approximately 50%. Polysilicon pricing remained stable within the cyclical bottom range of RMB36 to RMB42 per kilogram throughout the quarter. In November and December, leading poly producers reduced production to offset the higher hydroelectricity costs during the winter season and to mitigate inventory risks. As such, industry production of polysilicon continue to decline month-over-month. According to industry statistics, the total production volume in China descended to approximately 100,000 metric tons per month in December, the lowest level in the year. On December 26th, polysilicon futures trading officially launched with the initial benchmark price set at RMB38.6 per kilogram. Although some prices were quoted higher at RMB42 to RMB43 per kilogram, future trading volumes remained small and had limited impact on spot pricing. On a positive note, new solar PV capacity in China reached a record high of 68 gigawatts in December, which was beyond expectations and reinforced market confidence in the resilience of solar PV in the short run and market potential in the medium to long-term. Despite the significant challenges resulting from overcapacity in the solar PV industry, we have seen proactive initiatives to restore the industry's healthy development. On December 06, 2024, led by the China Photovoltaic Industry Association, our company, along with other major solar PV manufacturers, have reached consensus that implementing self-discipline would be fundamental to mitigating the irrational competition, amid falling prices and heightened global trade pressures. Moreover, the solar PV industry continues to show strong demand prospects. For the year 2024, China's newly installed solar PV capacity grew 28% year-over-year to 277 gigawatts, which not only hit a record high, but also exceeded market expectations. We remain optimistic that, as supply adjusts to more rational levels, we'll see a better balance between supply and demand this year. In the long run, as a renewable energy source and one of the lowest cost sources of electricity worldwide, solar power continues to be a key driver in global energy transition and sustainable development. Looking ahead, Daqo New Energy will capitalize on the long-term growth in the global solar PV market and strengthening its competitive edge by enhancing its higher efficiency N-type technology and optimizing its cost structure through digital transformation and AI adoption. As one of the world's lowest cost producers with the highest quality N-type product, a strong balance sheet and no financial debt, we believe we're well-positioned to weather the current market downturn and emerge as one of the leaders in the industry to capture future growth. So now I will turn the call to our CFO, Mr. Ming Yang, who will discuss the Company's financial performance for the quarter. Ming, please go ahead.
Ming Yang: Thank you, Anita, and hello, everyone. This is Ming Yang, CFO of Daqo New Energy. We appreciate you joining our earnings conference call today. I will first go over the company's fourth quarter 2024 financial performance, then follow with our full year 2024 financial results. Revenues were $195.4 million compared to $198.5 million in the third quarter of 2024 and $476.3 million in the fourth quarter of 2023. The decrease in revenue compared to the third quarter of 2024 was primarily due to a decrease in ASP, mitigated by an increase in sales volume. Gross loss was $65.3 million, compared to $60.6 million in the third quarter of 2024 and gross profit of $87.2 million in the fourth quarter of 2023. Gross margin was negative 33% compared to negative 30.5% in the third quarter of 2024 and 18.3% in the fourth quarter of 2023. The decrease in gross margin compared to the third quarter of 2024 was mainly due to the decrease in average selling prices. Selling, general and administrative expense were $29.4 million, compared to $37.7 million in the third quarter of 2024 and $39 million in the fourth quarter of 2023. SG&A expenses during the fourth quarter of 2024 included $14.9 million in non-cash share-based compensation expense compared to the company's share related to the company's share incentive plan compared to $18.9 million in the third quarter of 2024. The company recognized $18.1 million in non-cash expense related to allowance for expected credit loss of receivables in the fourth quarter, mainly due to uncertainty on the recoverability of long age receivables. The company recognized $175.6 million in fixed asset impairment loss, mainly related to its older polysilicon production lines in the fourth quarter of 2023 due to the continuous downtrend in the polysilicon selling prices that impaired the recoverability of carrying amounts of these assets. R&D expenses were $0.4 million compared to $0.8 million in the third quarter of 2024 and $3.3 million in the fourth quarter of 2023. R&D expenses reflect R&D activities that take place during the quarter and can vary from period-to-period. As a result of the above mentioned, loss from operations was $300.9 million compared to $98 million in the third quarter of 2024 and income from operations of $83.3 million in the fourth quarter of 2023. Operating margin was negative 154% compared to negative 49% in the third quarter of 2024 and 17.5% in the fourth quarter of 2023. Net loss attributable to Daqo New Energy shareholders was $180 million, compared to $60 million in the third quarter of 2024 and net income of $53.3 million in the fourth quarter of 2023. Loss per basic ADS was $2.71 compared to $0.92 in the third quarter of 2024 and income per ADS of $0.76 in the fourth quarter of 2023. Adjusted net loss attributable to Daqo New Energy shareholders, excluding non-cash share-based compensation costs was $170.6 million, compared to $39.4 million in the third quarter of 2024 and adjusted net income of $74 million in the fourth quarter of 2023. Adjusted loss per basic ADS was $2.56 compared to $0.59 in the third quarter of 2024 and adjusted earnings per basic ADS of $1.06 in the fourth quarter of 2023. EBITDA was negative $236 million compared to negative $34 million in the third quarter of 2024 and $128.2 million in the fourth quarter of 2023. EBITDA margin was negative 121% compared to negative 17% in the third quarter of 2024 and 26.9% in the fourth quarter of 2023. Now, I will go over the company's full year 2024 financial results. Revenues were $1.03 billion compared to $2.3 billion in 2023. The decrease was primarily due to lower polysilicon average selling prices and further compounded by lower cell volume. Gross loss was $212.9 million compared to gross profit of $920.7 million in 2023. Gross margin was negative 20.7%, compared to 39.9% in 2023. The decrease in gross profit was primarily due to lower ASP and inventory impairment. For the year of 2024, the company reported $81.4 million in inventory impairment expenses, compared to $0.5 million in 2023. SG&A expenses were $143.1 million, compared to $213.2 million in 2023. The decrease was primarily due to the reduction in non-cash, share-based compensation costs related to the company's share incentive plan, which was $72.4 million and $121 million in 2024 and 2023, respectively. The company recognized $175.6 million in fixed asset impairment loss mainly related to its older products and facilities in 2024. R&D expenses were $4.6 million compared to $10.1 million in 2023. And as a result of the foregoing, loss from operations were $564 million compared to income from operations of $783.4 million in 2023. Operating margin was negative 54.8%, compared to 33.9% in 2023. Net interest income was $29.4 million, compared to $52.3 million in 2023. The decrease in interest income was primarily due to lower cash and bank balance as well as lower bank interest rate. Net loss attributable to Daqo New Energy shareholders was $345 million compared to net income of $429.5 million in 2023. Loss per basic ADS were $5.22 compared to earnings per basic ADS of $5.75 in 2023. Adjusted net loss attributable to Daqo New Energy shareholders were $272.8 million, compared to $563 million in 2023. Adjusted loss per basic ADS were $4.12 compared to adjusted earnings per basic ADS of $7.14. EBITDA was negative $338 million, compared to $918.6 million in 2023. EBITDA margin was negative 32.9% compared to 39.8% in 2023. Now, on the company's financial condition. As of December 31, 2024, the company had $1.038 billion in cash, cash equivalents and interest in cash compared to $853.4 million as of September 30, 2024 and $3.05 billion as of December 31, 2023. And as of December 31, 2024, the note receivable balance was $55.2 million compared to $84.5 million as of September 30, 2024, and $116.4 million as of December 31, 2023. Notes receivable balance represent bank notes with maturity within six months. And as of December 31, 2024, the balance of fixed term deposits within one year was $1.087 billion compared to $1.215 billion as of September 30, 2024, and none as of December 31, 2023. Now on the company's cash flows. For the 12 months ended December 31, 2024, net cash used by operating activities was $437.7 billion compared to $1.6 billion provided by operating activities in the same period of 2023. The decrease was primarily due to lower revenues and gross margin. For the 12 months ended December 31, 2024, net cash used in investing activities was $1.478 billion, compared to $1.196 billion in the same period of 2023. The net cash used in investing activities in 2024 was primarily related to capital expenditures on the company's 5A and 5B polysilicon construction projects in Baotou City, Inner Mongolia and purchases of short-term investments and fixed-term deposits. For the 12 months ended December 31, 2024, net cash used in financing activities was $47.4 million, compared to $795 million in the same period of 2023. Net cash used in finance activities in 2024 was primarily related to $35.8 million in dividend payments made by the company's subsidiary, Xinjiang Daqo to its minority shareholders. And that concludes our prepared remarks. We will now open the call to Q&A from the audience. Operator, please begin.
Operator: [Operator Instructions] The first question today comes from Alan Hon with JPMorgan.
Alan Hon: Hi. Thanks for letting me to ask the questions. I have like three questions here. The first question is, I would like to know the reason for the, how is the cash spend in fourth quarter last year? On my tally, it seems like we have spent around $0.2 billion cash in fourth quarter, we like to have a feeling of the breakdown. My second question is, I would like to hear many thoughts on the pricing outlook in the next two quarters. And the number three question is, I mean, like there has been like various news talking about potential policy intervention to suppress the industry capacity, kind of like a supply side result. I would like to hear management's thoughts on this.
Ming Yang: Alan Hon, we're going to look at the numbers really quick. Thank you.
Anita Zhu: Okay. Alan, thank you for your questions. Maybe I’ll talk about the pricing outlook first before Ming answers your first question. So I think in the short run, we are likely to see poly prices to increase in the next couple of months, at least before the end of the second quarter 2025. Like I talked about in the commentary section, during the fourth quarter of 2024, the industry has initiated several discussions on self-regulation that would potentially cap the overall production volume. So right now, the overall industry utilization rate is roughly around 50% across all. And as a result, based on industry statistics, we have seen domestic poly supply to drop starting from December. So in December, the overall production volume is around 104,000 metric tons. And in January, it has even lowered to 97,000 tons. And while wafer supply in Jan is only about 45 gigawatts, roughly equivalent or I should say supply is slightly lower than demand. So we expect supply to be in the range of 90,000 to 100,000 at least until May, primarily driven by the seasonality effect of hydroelectricity power, which will be relatively high during the low wind season up until May. And as of last week, the domestic industry inventory in the poly sector is around 250,000 ton and also about 200,000, at the ingot or wafer manufacturers level. So we believe the poly inventory may remain high throughout 2025, but would reduce gradually in the next few months, leading to a potential poly price upside in the second quarter. Another catalyst to mention for a price uptick is the new regulation that have been talked about, the market reform, which would lead to potential front loading. In the first quarter, the NDRC and also the National Energy Administration actually released new policies on distribution of solar installations and also on the renewable power tariff reform. So we would see a distributed solar regulation to take effect on May 1st and also the market base on gas pricing to be implemented for all new renewable projects starting from June 1st. So we expect to see some potential front loading, especially because there's this uncertainty to yield of new projects starting from June 1st. So as we see higher -- therefore, we expect to see higher visibility in the inventory depletion and potential uptick in price across the balance sheet at least in the first half of 2025. But demand in the second half of 2025 and onwards appears to be somewhat more challenging if there are not enough new application scenarios or alternative business models, we may ask them to determine the user project returns. So in the mid-term to the more longer-term, we think that the overall industry utilization would remain around 40% to 50%, especially as the corporates are complying to the self-regulation measures to maintain or to promote a more healthy business industry. So price would likely linger in the range of RMB40 to RMB45 N-type and RMB37 to RMB40 for N-type. So we see more clear turning point. I hope that answers your question.
Alan Hon: So you say 45 to 50 for N-type is your expectation?
Anita Zhu: For the more mid-term. So up until, I would say, the end the second half or till the end of this year.
Alan Hon: Got it. So the next question is on the supply side reform and also like the cash consumption in fourth quarter.
Ming Yang: I think if you look at cash on consumption, I think about roughly $80 million is related to operations or spend on the operations and then roughly $40 million is related to the CapEx. And then, the remaining is mainly related to changes in the balance sheet items between operating assets and operating liability. So these are the main ones.
Alan Hon: Got it. Thank you. And the last question I have is, we'd like to hear your thoughts on how the government may conduct a pipeline reform in our industry.
Ming Yang: Okay. I think from our understanding is, right now the National Energy Administration and in partnership with the Ministry of Industry & Technology and the National Development & Informed Commission, I think combined, they're looking at how to stem the losses within the industry, right? I think previously, they were looking at how the self-discipline framework would work, and I believe thus far, they're not too pleased with it in terms of the results. So it looks like it might be likely that, they might come forth with a certain type of policy. We don't know what that policy looks like yet. I mean, it might be some combination of capping production, some kind of production quota. And I think retiring inefficient capacity or older technology and things like that. So I think we are yet to see what the policy looks like. I believe that's still being discussed and being formed, but it might look like some of their former policies related to this, for example, what had happened in aluminum.
Operator: The next question comes from Phil Shen with ROTH Capital.
Phil Shen: Can you hear me okay? There seems to be some issues with Phil's line. The next question comes from [Meng Wen Wang] with Goldman Sachs.
Unidentified Analyst: Yes. Hi. Thanks management for taking my question. So my first question is about the turning points you mentioned. So as Anita said that you expect poly price hike is likely to stand until end of the second quarter. So what's the exact turning point we are looking for in order to raise our production? Yes, and also, if -- it will be great if you can elaborate more on the basis that we come to our production target. Is it the so called production quarter assigned to us or it's simply, because we are more bearish on the net outlook?
Anita Zhu: So for your first question, it's very difficult for us to estimate the exact timing of the turning point because, in 2024, if we look at the broader picture, the total power of poly production volume actually reached just 1.2 million metric tons. And the nameplate capacity of heavy sector on the main value chain has reached, on average, over 1,200 gigawatts. So for poly, the nameplate production capacity of all completed projects, regardless of whether it has been temporarily shut down or never started initial production, actually exceeded 1,400 gigawatts, which is roughly 2.2 million metric tons. That's more than double of demand. And if we look at the outlook for 2025 based on industry forecast, we see that global demand would actually be in the range of 550 to 600 gigawatts. And from that, we expect China solar installations to be in the range of 250 to 300 gigawatts, which would be roughly equivalent to 1.4 million to 1.6 million metric tons of poly demand. So if we take these numbers into consideration, it's not difficult to see that, it will be a somewhat more prolonged cycle to rebalance the current overcapacity or oversupply in the entire industry. So we would either need to see a stronger demand or a more rapid rebalance rate in terms of supply. In terms of our production target, we have decided to maintain a relatively low utilization rate on the backdrop of abiding to the self-regulation measures, that has been led by the CPIA as well as considering our own strategic -- own strategy to cap our [Casper] in 2025.
Unidentified Analyst: Yes, sure. Thanks for that. Just to follow-up, what's the current utilization rate in our Xinjiang and Inner Mongolia capacity? And since we plan to maintain the utilization rate at a low level for the whole year, will we consider to shut down our Xinjiang base or because the Inner Mongolia base alone has more than enough right to meet the production target?
Anita Zhu: We have decided to open both our Xinjiang in our Inner Mongolia based on our own strategies, of course, because we also have to take into account our employees in both facilities, as well as our obligation for, in order to fulfill our social responsibility to the community. But I guess you're correct in terms of further lowering our utilization rate, but that will be contingent upon market development. If demand is worse than we expected, then we might consider to grow our utilization rate. But also considering we need to see the balance between fixed cost, fixed cost and a number of factors before we proceed to lower our utilization.
Operator: The next question comes from Phil Shen with ROTH Capital.
Phil Shen: Hi, guys. Hopefully, this is better now. Can you hear me okay?
Ming Yang: Now, it's great. Yes.
Phil Shen: Okay, great. The audio was a little bit unclear for me earlier, so apologies if some of these questions have been asked. As a follow-up to the first questionnaire on the supply side reform, I heard your answer that, there could be some kind of policy put in place, but you don't know what it looks like yet. Do you have a sense of the timing of when the policy could be released? Is it soon or is it maybe much later in the year?
Ming Yang: Obviously, it's uncertain with regard to timing of the policy. China will have its high level central government committee meeting coming up in early March. We believe from what we heard, it should -- it could be around that time, because that's the time when the government announces a lot of their policy, for example, economic policy and government policy. So that's one possible timeline in early March or it could be later. We don't know yet. But all we know is that, they are in discussion and they are quarantined.
Phil Shen: Great. And so they would release the supply side framework for not just poly, right, but also every step in the supply chain?
Ming Yang: All the entire solar industry, yes.
Phil Shen: Yes. Okay, great. Thanks. And then, from a pricing standpoint, I may have missed this, but can you share what kind of pricing you expect for Q1? Should it be similar to Q4? And then, do you expect poly pricing to adjust slightly higher, as we get into the back half of 2025? What's the cadence of price for polysilicon Q1 through Q4?
Anita Zhu: Thank you, Phil. Like I mentioned about in the beginning of the Q&A session, we believe that, in the near-term, poly prices will somewhat tick up slightly. So end time will be more on the higher range of RMB40 to RMB45. But going to the second half of the quarter, because we're likely to see some front loading before June 1, driven by the renewable power tariff reform and the new policies on the ship with the forward installation. Due to the uncertain yields of these projects, the only certainty is to get installed before June 1st. So we believe that, we might see a stronger demand in the first half compared to the second half. And hence, overall in the second half of the year, price for N-type would be in the range of RMB40 to RMB45, maybe more on the lower end and RMB37 to RMB44.
Phil Shen: Anita, it was a little bit hard to hear you. Can you speak closer to the microphone? Did you say in the first half it's RMB40 to RMB45 and then the back half might be RMB37?
Anita Zhu: Yes. I would say, in the first half, it's more on the higher range of RMB45, but in the second half, it would be more on the lower range.
Phil Shen: Okay, got it. And you're much clearer now.
Anita Zhu: N-type will be around RMB37 to RMB40. But of course that would also be contingent upon whether there will be additional supply coming out after May.
Phil Shen: Meaning more production from other players?
Anita Zhu: Yes, especially because we're going to the rain season. So the hydro-electricity power tariff would drop significantly compared to where it is right now.
Phil Shen: Got it. Okay. Thank you. It's much clearer now. Thank you. We have a sense for pricing now. We've talked about supply side reform. What about on the demand side? We've seen some changes recently to the feed in tariff outlook and that's going away. With the load growth in China, there seems to be based on some of my industry sources, there could be an upside surprise to demand. Are you seeing that yet, the potential for that? And if so, how do you expect that to play out through the year?
Anita Zhu: So, like I talked about previously, we think that based on industry forecast, we have also seen global demand to be in the range of five 550 to 600 gigawatts. From that, we expect China solar installation to be in the range of 250 to 300 gigawatts. And that would be relatively stable in terms of year-over-year growth compared to 277 gigawatts in 2024, primarily because we think the inflation of utility scale has peaked in the short run. We would need to see a more structural reform either in the grid system or a frequency modulation control to optimize the system, such as the development of energy storage, before demand can further boost. And for distributed installations, we think that, the market oriented reform poses the biggest uncertainty to the yields of new projects and hence the pace of installation with somewhat slowdown after June 4th. Before we see more transparency on the regulation, of course, because although it has been released by NDRC and the NEA for the new regulation, they actually delegated the specific details to provincial levels. So we will need to see from that level what the local government what the specific plans will look like from the provincial levels before end of 2025. And we think that besides the Chinese market, international demand will primarily come from emerging markets. So, for instance, like Latin America, Middle East, Africa, et cetera, because they have the big potential for renewable energy due to the rapid growth in electricity demand. So for instance, Saudi Arabia's goal is to have renewable account for 50% of energy composition by 2030. So they plan to have a newly installed 20 gigawatts of solar from 2024 onwards. And beside the emerging markets, we think that for the U.S., it will be somewhat stagnant, primarily because after Trump has been elected, he has signed several executive orders, for instance, delaying or suspended the IRA subsidy and also halting -- the exiting the Paris Agreement. So we think that in the U.S., the renewable energy would be pivoted towards supporting the fossil fuel industry.
Operator: The next question comes from Alan Lau with Jefferies.
Alan Lau: Thanks a lot. So I would like to come to some of the details in the financials. Actually the cash cost of the production in 4Q has lowered to almost RMB35 per kilogram. Would like to know, if there's any further room to come down and the reason of that, because is it because there was some impairment in cost, which brings down the COGS or this RMB35 per kilogram actually fairly reflects the cash cost of the company?
Ming Yang: Hello, Allen. This is Ming. I would say that, the current RMB35 per kilogram is reflective of the company's current cash cost. I think cash cost reduction comes from a number of points, including a better manufacturing efficiency and then cost savings on material procurement. But in particular, as reduced production, I think now the productions are primarily focused in our most efficient manufacturing facility, both in Xinjiang and in Mongolia. So these have lower electricity usage per unit production, for example. So I think that's why we saw other tax cost reduction. I think right now our outlook for Q1 is cash cost should remain at the current level or maybe just slightly lower, but not too much lower as our current expectation.
Alan Lau: I see. That's clear. And another question sorry. Yes, I think similar to Q4, maybe just slightly lower than Q4. I see, I see. Another question is in regards to FBR, because one of the major peers has also got around 10,000 tons of kind of pilot lines got environmental approvals. So would like to listen on your views on the technology and would you also explore into certain lines for FBR? And what's your view on the cash cost of RMB28?
Anita Zhu: So first of all, it's hard for us to comment on our competitors' cash cost, but I could give more color on our own strategy, of course. So I think that we definitely respect innovation and industry, but modified Siemens process has been refined over decades and has delivered proven cost efficiency, scalability and high quality polysilicon, which is critical to meeting our customer specifications. And we have also consistently worked toward further lowering our costs, through technology improvements, such as lowering our energy consumption, our silicon powder consumption, et cetera, so we can position competitively in this cyclical market. And we definitely acknowledge the clear advantage of FBR, which would be lower energy consumption and I guess, hence, lower cost, which makes it easier to get relevant carbon footprint certifications in the future. But we still believe that FBR has its inherent risks such as its purity challenges. It's still not possible to use 100% FBR in downstream production. So there is a maximum blend percentage, when you are trying to produce in the downstream sectors. There is also challenge associated, with hydrogen displacement during the deposition process, and also hydrogen retention leading to potential defects or degraded risks. And also the process instability caused by things like the reactor clogging, maybe the uneven silicon deposition can also lead to increased downtime. But that being said, we are not complacent. So our R&D team -- and I would like to highlight that we also established our research center in Inner Mongolia last quarter in 2024, which will continue to evaluate all innovations and maybe more on the emerging technologies that could potentially be transformative in the future, including the FBR in order to assess the long-term viability of different technologies. I believe that, other technologies or FBR that demonstrate clear sustainable advantages without compromising the product quality, we will consider the different process as well. But for now, our strategy remains centered on leveraging our existing strength, so our operational excellence, our customer trust and also our financial strength to navigate this market dynamics amid this market down cycle.
Alan Lau: Understood. Thanks a lot for the detail about this. So basically there's no concrete plans in pursuing FBR for now, right?
Anita Zhu: There's no concrete plans, but we are also doing our research, of course. We are keeping an eye on all sorts of technologies. That could be potentially transformative in the future.
Alan Lau: Understood. So another question is, I recall there was $100 million buyback announced last year. Wonder if, when the company thinks it would be appropriate to start the buyback? Is there any consideration in selling down your Asia platform as well, in order to fund the buyback in the U.S. platform?
Anita Zhu: So I think for the $100 million share buyback, we are still keeping an eye and closely monitoring the market dynamics. I think like we mentioned before, we were more conservative and waiting to see when a turning point would emerge. But I think based on the recent news and our assessment of the market environment, we would like to -- we are still closely monitoring when would be a good timing to start repurchasing. But for selling down our A shares and potentially buying back on the U.S. ADRs to close down this gap in terms of the huge differences in valuation, we have definitely considered such plans. However, after the new regulation rolled-out, on selling down on A shares, which was announced in May last year, should your share price be trading below your issue price, which would be $21.49 for us. It's somewhat more difficult to pursue such plan, which is why we announced to extend our selling down back in our lock up, yes, in January.
Alan Lau: I see. But I think from an industry perspective, you would still like to see, there is a turning point before you commit for the buyback, right?
Anita Zhu: Yes. Because we think, the cycle will somewhat be prolonged as our competitors are also have strength in terms of stronger I guess shareholder background and also we haven't heard things like recalling back the loan. So I think it's still early stage right now, but we're definitely keeping an eye and monitoring the market dynamics, and decide when would be the good timing to start with it --
Alan Lau: And my last question is about the 2025 production guidance. It appears to be less than 50% of utilization rate if you think about the capacity of the company is close to 300,000 and seems slightly lower than the numbers out there in the after the December CPIA meeting. So, I would like to know if it is coherent with the supply side self-discipline initiative because there is a lower estimated demand in 1Q. So the progress position is lower in 1Q, but like is this basically the number you have in the self-discipline agreement?
Anita Zhu: I think from the self-discipline measures, they -- basically overall, they would have a quota for the company, based on your past shipping volume as well as your nameplate capacity as of now. That's more like maximum cap of the level of production that you can produce for the entire year. We haven't heard anything such as punishment associated with producing lower than the quota. And we have actually made our target for 2025, based on our own company's strategy, while complying to the self-regulation measures. I think our primary goal in 2025 is to maintain a level that would meet our customer demand, while capping or reducing our cash burn in the entire year.
Alan Lau: I see. Basically, it's like if positive -- could I say that if demand improves, there's a possibility to further increase a bit on the products and services, if the demand really beats expectation?
Anita Zhu: Yes, yes. That's the guidance as we assess the market conditions right now. But there is a possibility of potentially increasing our utilization rates, should the market demand become stronger than we expect.
Operator: The next question comes from [Zihui Hu] with CICC.
Unidentified Analyst: Thanks, management. This is Zihui from CICC. My first question is whether we participate in poly futures trading now and how the planning on it? And my second question is, what's the current inventory level of company?
Anita Zhu: I'll answer the first question and then Ming can answer the second question. So in terms of the futures market, in the fourth quarter last year, we've already registered our label for the futures market and obtained relevant approvals. So we are among the first batch of manufacturers to be able to participate in the futures market. But after the futures market comes online December last year, the registered brands generally quoted above RMB45, but the listing price was relatively low at RMB38.6, when it just opened. So I would say, it's more of a capital gain right now and the main contract, which is the June 25, has average daily trading volume of about 10,000 lots, which is not a lot. So the overall market pool is still relatively small right now. And as it's trading at around RMB43 to RMB44.5, I believe, it has not yet met our expectations. And I would say, the willingness for us to participate is still relatively weak at the moment. And in fact, I believe for other players, I think right now, it's more preferable to transact with futures merchants to indirectly exploit the hedging opportunities. But that being said, we're definitely monitoring the progress of the market and waiting to see a more detailed guidelines on how to participate and see whether it would be a good strategy that fits our overall company strategy to take advantage of the future hedging.
Unidentified Analyst: Go ahead.
Ming Yang: The current sellable inventory proposal for the company is less than 20,000 metric tons per month and there is a decline of close to 10,000 metric tons compared to the end of last quarter. So, this is improving rapidly, I would say. Yes, and it's continuing to come down as well.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to management for any closing remarks.
Anita Zhu: Thank you, everyone, again for participating in this conference call. Should you have any further questions, please don’t hesitate to contact us. Thank you and have an awesome day. Goodbye.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.